Operator: Good day. Thank you for standing by and welcome to the Fourth Quarter 2024 AGF Management Limited Earnings Conference Call. [Operator Instructions] As a reminder this call is being recorded. I would now like to introduce your host for today’s conference. Mr. Tsang, you may begin.
Ken Tsang: Thank you, operator and good morning everyone. I’m Ken Tsang, Chief Financial Officer at AGF Management Limited. Today, we will be discussing the financial results for the fourth quarter and fiscal 2024. Slides supporting today’s call and webcast can be found in the Investor Relations section of agf.com. Also speaking on the call today will be Kevin McCreadie, Chief Executive Officer and Chief Investment Officer. For the question-and-answer period following the presentation, Judy Goldring, President and Head of Global Distribution; and Ash Lawrence, Head of AGF Capital Partners, will also be available to address questions. Slide 4 provides the agenda for today’s call. After the prepared remarks, we will be happy to take questions. With that, I will now turn the call over to Kevin.
Kevin McCreadie: Thank you, Ken and thank you everyone for joining us today, 2024 was a mixed year with elevated interest rates and consumer prices, which dampened investor sentiment in the first half. This is followed by a robust markets and positive flows in the second half as interest rates ease. Against this backdrop, AGF performed very well and ended the year on a very strong note. We concluded the year with approximately $54 billion in AUM and fee earning assets, which is a 27% increase from the previous year. This growth reflects improvements across all lines of business. Our Canadian retail mutual fund business reported net sales of $14 million in the quarter, marking the second consecutive quarter of positive net sales. Supporting our positive mutual fund flows was our strong investment performance with 1-year performance at the 48 percentile and 3-year performance at the 41st percentile. Our capital position remains strong. After completing two transactions earlier this year, we have net cash of $38 million and $235 million available on our credit facility. In addition, we had $341 million in short and long-term investments on our balance sheet. Our strong financial position provides us with the flexibility in our capital allocation strategy. Turning to our financial results. Adjusted EBITDA for the year was $166 million, which is 26% higher than the prior year. We also reported adjusted diluted EPS of $0.45 for the quarter. On a full year basis, we reported adjusted diluted EPS of $1.67, which is a 25% increase compared to the prior year. Ken will provide more color on our financials in a moment. We also paid a quarterly dividend of $0.115 per share for the fourth quarter. Starting on Slide 6, we will provide an update on our business performance. On this slide, we break down our total AUM and fee earning assets in the categories disclosed in our MD&A and show comparisons to the prior year. Our mutual fund AUM reached $31 billion up 25% year-over-year, outpacing the industry increase of 20%. Our ETF and SMA AUM increased 73% year-over-year. I’ll provide more color on our mutual fund business and ETFs and SMA AUM in a moment. Segregated accounts and sub-advisory AUM also increased by 3% compared to the prior year. Our private wealth AUM increased by 17% compared to the prior year to $8.6 billion and our AGF Capital Partners AUM and fee earning assets were $4.9 billion at the end of the year, up $2.7 billion from the prior year due to the closing of the Kensington transaction. As a reminder, New Holland Capital’s AUM of approximately CAD8 billion is not consolidated into AGF’s total AUM and fee earning assets at this time. Turning to Slide 7. I’ll provide some details on the mutual fund business. The Canadian mutual fund industry experienced net sales of $8 billion in the quarter, recording the second consecutive quarter of positive net sales. AGF’s retail mutual fund business also achieved its second consecutive quarter of positive net sales with $14 million reported this quarter. We are beginning to see the positive effects from interest rate reductions as investor confidence improves and over time, hardship from elevated interest rates and inflation debates. We are also seeing positive effects from our penetration in higher growth distribution channels as we’ve diversified our capabilities and offerings. I want to now give a quick update on our investment performance. AGF measures mutual fund performance by comparing gross returns before fees relative to peers within the same category, with the first percentile being the best possible performance. Our 1-year performance was in the 48 percentile, and our 3-year performance was in the 41st percentile and approximately 60% of our strategies are outperforming our peers on a 3 and 5-year basis. Turning now to Slide 8. Slide 8 shows our ETF and SMA AUM. The AUM in this category has grown 43% on a compounded basis over the last 2 years, included in this number are Canadian and U.S. listed ETFs and SMA platforms globally. The demand for our market-neutral anti-beta ETF, which offers a strategic hedge against volatile markets, has remained strong, and we are seeing growing interest in the ETF series of mutual funds that were launched earlier in 2024. Further, we have seen consistent growth and momentum in the SMA business across the U.S., Canada and Asia, where many of our strategies are available on leading SMA and wealth management platforms. Turning to Slide 9, I’ll provide an update on our capital partners business. A decade ago, we began our journey to establish AGS footprint in alternative investments. In 2022, we formally established AGF Capital Partners, our multi-boutique alternatives business. During 2024, we made a strategic investment into New Holland Capital, which was announced in February of 2024 and acquired a 51% stake in Kensington Capital Partners in March of 2024. Today, our affiliate managers have over $13 billion of AUM and fee-earning assets spread across private equity, private credit, venture capital and hedge funds. In January, we launched the AGF NHC Tactical Alpha Fund as part of our next step in our partnership with New Holland Capital as we continue to build and grow our alternatives business and diversify our capabilities. To further support this growth, we also combined the Kensington and AGF Capital Partners Client Solutions team into a dedicated alternative focused distribution team as part of an integrated strategy to deliver a full range of alternative and private market solutions to retail, high net worth and institutional clients in Canada. As we continue to look for acquisitions in the space, partnering firms will also benefit from AGF scale, brand and distribution network to drive further growth. With that, I will turn the call over to Ken.
Ken Tsang: Thanks, Kevin. Slide 10 reflects a summary of our financial results with sequential quarter and annual year-over-year comparisons. The financial results in these periods are adjusted to exclude severance, corporate development and non-cash acquisition-related expenses, which I will expand on in a moment. In Q4, we saw a quarter-over-quarter increase in total adjusted net revenues driven by higher AUM. This was offset by higher SG&A due to higher performance-based compensation and timing of non-compensation expenses. For the full year, our non-compensation expenses, was mostly in line with our guidance. Performance-based compensation is not fully determinable until the end of Q4 due to the design of certain compensation plans. As a result, we often see true-ups in the last quarter as plans are evaluated and payouts are finalized. Adjusted net income attributable to equity owners for the current quarter was $30 million, which is $5 million higher than Q3. For the full year 2024, adjusted net income attributable to equity owners was $112 million, which is $21 million or 24% higher than the prior year. This growth is driven by a combination of strong AUM growth, higher returns from our AGF Capital Partners business and the acquisition of Kensington. Slide 11 provides a further breakdown of our net revenues. Within our traditional asset and wealth management businesses, net management fees were $84 million for the quarter. Net management fees for the full year were $318 million, which is $24 million or 8% higher than prior year. The improvement in our net management fees were driven by increases in our AUM levels, which improved across all lines of business, as Kevin mentioned earlier. Within our AGF Capital Partners business adjusted revenues was $18 million in the quarter. Adjusted revenues for the full year, was $73 million, which is $40 million or 119% higher than the prior year. Recurring manager earnings this quarter were $8 million. Full year recurring manager earnings were $26 million up compared to the prior year, mainly because of the acquisition of Kensington. Revenues from long-term investments were $9 million this quarter. Full year revenues were $44 million, which is $18 million higher than the prior year. As a reminder, AGF participates as an investor in certain of our partners’ LP funds, benefiting from valuation increases and distributions from these funds. Our portfolio of long-term investments has performed very well in the current market environment. Fair value adjustments on investments can be lumpy. We remain conservative in our guidance and target annual returns of roughly 8% to 10%. On Slide 12, we outlined adjustments to our EBITDA. As you might recall, we closed on our Kensington transaction in March. The transaction gives rise to various LTIP contingent consideration and put obligation liabilities. These liabilities are fair valued each quarter with the difference flowing through to the P&L. These accruals and the fair value adjustments have no immediate cash impact and create noise quarterly which is why we’ve adjusted for these items to facilitate easier comparison of quarterly results and provide clearer visibility into our underlying financials. Adjusting for these items, along with severance and other onetime items, our adjusted EBITDA for Q4 is $40 million. Turning now to Slide 13, I’ll speak more to our SG&A and guidance for 2025. Adjusted SG&A in 2024 was $239 million, exceeding our guidance of $227 million. As shown on this slide, this increase is mostly due to performance-based compensation expenses. We believe that the level of performance-based compensation is appropriate, considering the significant improvements in business performance and the successful execution of our strategic priorities over the prior year. After we reset for performance-based compensation and adjust for an additional quarter of KCPL, we are guiding SG&A expenses to $245 million in 2025. This represents a roughly 3% year-over-year increase. Excluding the performance-based compensation reset, our SG&A is expected to be flat year-over-year. As a reminder, our SG&A guidance does not include costs related to acquisitions, and it assumes performance at the current trajectory. Turning to Slide 14. I will walk through the yield on our business in terms of basis points. This slide shows our average AUM, net management fees, adjusted SG&A and EBITDA as basis points on our average AUM in the current quarter, previous quarter and trailing 12 months. This view excludes AUM and related results from AGF Capital Partners, as well as DSC revenues, other income, severance, corporate development and acquisition-related expenses. The Q4 2024 net management fee yield was 72 basis points, which is 1 basis points higher than the previous quarter. Q3 2024 net management fee bps included additional fund expenses due to timing. Normalizing for our previous quarter rates would have been 72 basis points. On a trailing 12-month basis, the net management fee yield of 73 basis points is 1 basis point lower compared to the same time last year, which is in line with the 1 to 2 basis points decline that we’ve guided to in the past. Adjusted SG&A as a percentage of AUM was 52 basis points this quarter, which is 3 basis points higher than the prior quarter and 1 basis point higher than the trailing 12 months. As previously mentioned, SG&A in this quarter was elevated due to higher performance-based compensation. This resulted in an EBITDA yield of 20 basis points in the quarter, which was 3 basis points lower than the prior quarter and 2 basis points lower than the trailing 12 months. Turning to Slide 15, I will discuss our free cash flows and capital uses. This slide represents the last 5 quarters of consolidated free cash flows on a trailing 12-month basis, as shown by the orange bars on the chart. The black line represents the percentage of free cash flow that was paid out as dividends. Our trailing 12-month free cash flow was $95 million and our dividends paid as a percentage of free cash flows, was 30%. In the same period, we returned $40 million to shareholders consisting of $29 million in dividends and $11 million in share buybacks. During the quarter, we repurchased 162,000 shares under our NCIB for approximately $1 million. We ended the quarter with net cash of $38 million, which consists of cash of $53 million and long-term debt of $15 million. We also have $341 million in short-term and long-term investments and have $235 million remaining on our credit facility, which provides credit to a maximum of $250 million. Our future capital allocation will be balanced and includes returning capital to shareholders in the form of dividends and share buybacks as well as investing in areas of growth. Over the upcoming quarters, we plan to invest capital in our new partners. As existing investments mature, we will recycle the capital, freeing up resources for these new opportunities. Before I pass it back to Kevin, let me take a minute on Slide 16 to look at our market valuation. AGF’s current market price is about $10.50 and our enterprise value is approximately $640 million. Taking our $340 million of short-term and long-term investments into account, our remaining enterprise value is about $300 million. This implies a 2.5x EBITDA multiple on our 2024 adjusted EBITDA, excluding income from our long-term investments. Comparing this multiple to those of other traditional and alternative asset managers would suggest potential upside to our valuation. I will now pass it back to Kevin to close out the presentation.
Kevin McCreadie: Thanks, Ken. 2024 was a solid year. Our AUM and fee-earning assets continued to climb to $54 billion, 27% higher than the previous year. During the year, we made two significant investments, strategic investment in New Holland Capital announced in February of 2024 and the acquisition of a 51% stake in Kensington Capital Partners in March of last year, all while maintaining a healthy balance sheet as we closed the year with net cash of $38 million and $235 million remaining on our credit facility. Our strong balance sheet will allow us to strategically invest and redeploy excess capital to generate recurring earnings. Strong business momentum translated into strong financial results with adjusted EBITDA reaching $166 million during the year, which is 26% higher compared to the prior year adjusted diluted EPS of $1.67, which is 25% higher than the prior year. As we move into 2025, we’re committed to building on this momentum and remain focused on our 4 strategic priorities, which are to deliver consistent and repeatable investment performance, maintain our sales momentum and penetrate high growth distribution channels continue to build a diversified private capital and alternatives business and meet our core expense guidance while continuing to invest in key growth areas. Finally, I want to thank everyone on the AGF team for all of their hard work. We will now take your questions.
Operator: [Operator Instructions] First question is coming from the line of Aria Samarzadeh with Jefferies. Your line is now open.
Aria Samarzadeh: Hi. Thank you. Could you maybe just provide us with some clarity on the lower tax rate in the quarter?
Ash Lawrence: Yes. Hi Aria. I can help answer that question. Yes, so if you look at our Q4 results, we generated about $8.8 million in long-term investments. The bulk of that was related to fair value adjustments, which are typically taxed at half the effective tax rate. And so that would have been one factor driving down the tax rate. The other reason was just a Q4 release of certain accruals that we had related to prior year, so that also would have had the effect of reducing our tax expense and the overall tax rate. If you look at our effective tax rate overall for the year, it was about 23.1% which is a slight improvement from the prior year of about 23.8%.
Aria Samarzadeh: Thank you. And can we – so when we are looking at it on a quarter-to-quarter basis, are these accruals something that typically happen in the fourth quarter or is it something that’s not predictable?
Ash Lawrence: Yes. I mean – so, the fair value income, I think that obviously changes each quarter, right. Like so for example, in Q3 the fair value income was predominantly driven by distributions would have been taxed at a more regular tax rate, whereas this year, obviously, it’s kind of flipped. With respect to the accruals, we had to wait until the year-end just to ensure that we were comfortable releasing that reserve. And so this was more of a one-time thing that was more specific to this quarter than others.
Aria Samarzadeh: Alright. Awesome. Thank you for the clarity.
Ash Lawrence: I think just from a modeling perspective for your purposes, 23.1% or so effective tax rate would be reasonable on a go-forward basis.
Aria Samarzadeh: Thanks for the color again.
Operator: Thank you. Our next question is coming from the line of Graham Ryding with TD Securities. Your line is now open.
Graham Ryding: Good morning. Maybe just on the SG&A front what specifically drove the $11 million increase in the year that you flagged as sort of related to performance increase. And then why do you think you can sort of bring that growth rate back down to sort of 3% in 2025, and it looks like it was maybe closer to 8% in 2024, if you strip out Kensington.
Ash Lawrence: Yes, sure. I will lead into that one as well. So, bear in mind, Graham, we had a pretty phenomenal year this year, right. Our – just to give you a sense, in Q4 alone, we had about a 44% year-over-year increase in our gross sales. Performance – investment performance, as Kevin mentioned, was also equally strong. If you look at our 3-year and 5-year investment performance results, we ranked in the roughly 40th percentile relative to the overall industry. AUM, as you know, has increased significantly. That’s also driven up our EBITDA and as a result, bonus payments. So, I think the confluence of those factors had the effect of increasing just the overall operating results of the firm and as a consequence, the increase in performance fees as well, our performance-based compensation as well. The 3% year-over-year increase, I think part of that is just we do reset certain bonus elements, right. And so we do expect effectively a higher watermark, if you will, for bonus thresholds. And so those levels of bonuses wouldn’t necessarily be as high in the forecast year. And as a consequence, what you are seeing year-over-year is really just an increase in really more of the more normal sort of non-comp based expenses that we would expect from inflation. I will highlight one last factor, which is embedded in our $245 million guidance for 2025 is an anticipated investments that we will be making really across our sales channel, and that’s really to help us to drive market share gains across all of the products that we are seeing across AGF.
Kevin McCreadie: Graham, it’s Kevin. Let me just add on to that. And this also in our guidance for ‘25 includes the additional quarter of Kensington. Again, as we close that transaction, as you remember, into the – our second quarter last year.
Ash Lawrence: Yes. And maybe, Graham, just maybe one last point on just the guidance that we provide for next year, that $245 million, of course, that’s a full year result, the quarterly results could be a bit lumpy, right. And so just as a reminder, in Q1, as an example, we do tend to have higher SG&A as a result of just the upfront – up-fronting of various government taxes, such as CPG and EI, our employee base. So, this is just a reminder on that as well.
Graham Ryding: Okay. That’s helpful. In the quarter, it looked like you had very strong growth from your ETF, SMA, AUM, but perhaps some lower growth for that institutional AUM category. Can you maybe just provide some color on what was driving the different growth rates in those areas?
Judy Goldring: Sure. This is Judy speaking. The SMA focus and the ETF focus is really what we have seen great success in the U.S. We have really pivoted our strategy there to work to get on a number of key dealer platforms. And through those wealth platforms, the SMAs are trending quite strongly, and that’s where you see that kind of growth rate occurring. Even internationally, we did see growth through different platform relationships as well that is trending those assets higher as well. The pure-play institutional business, which I will call the consultant base business is very stable, but we are really focusing in the U.S. on our SMA growth.
Graham Ryding: Okay. Great. Any update on just flows in fiscal Q1 to-date, maybe just look for your mutual funds and also your other key areas?
Judy Goldring: Sure. Fiscal year-to-date is we are sitting pretty flat, actually, going into what we anticipate to be a pretty strong RSP season. And of course, we are about halfway through the quarter, so we are sitting flat right now.
Graham Ryding: Yes. That’s it for me. Thank you.
Operator: Thank you. And our next question is coming from the line of Tom MacKinnon with BMO Capital. Your line is now open.
Tom MacKinnon: Yes. Thanks very much. Just a further question with respect to the SG&A guide $245 million, I assume you probably have performance fees in there. Would you be able to highlight how much they would be, or is that – yes, and maybe you can highlight how much you think they are? And then this performance reset for 2025, is that really just because you have raised the bar now? And so that if we wanted to put it on an apples-to-apples basis for 2025, that’s why you have removed this $7 million? Thanks.
Ash Lawrence: Yes. Hi Tom. Yes, so maybe I will work backwards on your question there. Yes, the performance fees, we do reset it back for 2025. We don’t reset for everything, right. So, you can imagine for things like compensation related to higher AUM, we are expecting AUMs to stay at this level, if not increase, right. And so that’s effectively something that folks wouldn’t get an adjustment for. We don’t explicitly break out our SG&A for performance-based compensation relative to the other expenses that just hasn’t been our policy in the past.
Kevin McCreadie: Yes, Tom, it’s Kevin. Let me add to that. So, we know right now where managers are sitting in terms of their individual performance, again, heavily tilted to a 3-year number and a 5-year number. So, we can budget for that. What we don’t know is if they do much better than that in the coming year and add on to that, but it should be marginal from there. And again, if you think about it, we go back to a budget for this year, we reset everything. So, we start from zero for the firm relative to its EBITDA budget and targets which drives a piece of it. So – and my last point would be on the commission side, we had a quarter – Q4 last year to Q4 this year, that 40%-odd jump. We would all be happy if we did that again. My guess is we are going to be pretty strong, but not that strong. So, I think we have some comfort that, that number was really outsized because of a bunch of factors. We have tried to take as much of that into the base budgeting this year that we know, but there is always going to be the unknowns. But I can tell you, if we have that much success, it should feed its way into future success, i.e., if performance remains that strong, it should drive future flows, which we should all be happy with. But again, it’s a bunch of factors coming together. And to Ken’s point, we don’t break it out in terms of our guidance, in terms of specific buckets, but assume that we have covered a fair amount of it in the $245 million that we know for sure.
Tom MacKinnon: Great. And the 2024 guide of $227 million, if you would have had some performance fees in there, the $11 million was that you show in that chart on Slide 13 was the degree to which those performance fees were bigger than you had anticipated. Is that the way to read that chart?
Kevin McCreadie: Yes, that’s correct, Tom.
Tom MacKinnon: Okay. Good. And then just a follow-up question with respect to performance, I mean down year-over-year on both 1-year and 3-year, what might be driving that? And then I seem to remember you used to have a goal of 50% for 1-year and 40 percentile for 3-year, is that still the case? And it seems to be why not increase those guides, do you think it’s increasing performance up something higher would be able to – if you move those metrics, do you think that might have more of a positive impact on flows going forward? Thanks.
Kevin McCreadie: Yes, Tom, let me try to make sure I got that. But just to remind everybody, the first percentile is the best you can possibly be the 100 is the worst when you have 40-odd relative strategies, some are going to be just out of favor, in favor. So, I think given your could be better than 50, it’s pretty good. And over three and five, you can live in the second quartile, that sets you up really well for the VA four and five-star funds. So, we try to drive ourselves down towards that – those top two quartiles, which I would argue being the 39 percentile in 5 years is very, very strong. Just compare that to, I don’t know where Q4 was last year. But just even when we start Q2, something like that, that 5-year number would have been 45, still pretty good, but we continue to improve both those metrics throughout the year, so again…
Tom MacKinnon: Thanks so much for that. Appreciate it. Thanks.
Operator: Thank you. And our next question is coming from the line of Gary Ho with Desjardins Capital Markets. Your line is now open.
Gary Ho: Hey. Thanks. Sorry, having phone problems fully, this wasn’t asked. But a few weeks ago, you announced the launch of the AGF New Holland Capital Tactical Alpha Fund in the Canadian market. Maybe can you elaborate on this initiative? What are you hearing from clients needing this product and any capital requirements to get this up and running? And I think, Ken, I think in your prepared remarks, you mentioned about recycling capital this year. Maybe expand on that as well.
Ash Lawrence: Hi Gary, it’s Ash. So, maybe I will go first and then pass it off to Ken. So, yes, we have been working over the year with both of our partners on various initiatives in terms of us collaborating with them on the various strategies that they run. So, what we have launched with New Holland Capital here in Canada, the AGF NHC Tactical Alpha Fund is really a feeder fund to a strategy that they have been running for a number of years in the institutional world. That is a multi-strategy, multi-PM product that we feel right now, especially in the retail and high net worth channels here in Canada and given what some of the prognosticators are saying the next little while might look like in the markets, i.e., uncertainty, volatile at this type of product and an allocation to this type of product where you can get alpha with relatively low vol, non-correlated and diversification will be in demand within advisors’ books. It did just launch about a week ago, so a little early for us to know too much about the response. However, when we were doing our sort of market testing last year and some of the initial responses, there is a level of interest because of the certain characteristics that this would bring to a portfolio, especially as people are looking at equity markets and wondering if it’s time to take a little bit of that off the table and put it in more of a still performance generating but a little more risk mitigation strategy. Maybe just quickly one other thing is we do continue to work on initiatives like this, whether it be product launches, whether it be, as Kevin mentioned in his opening remarks, the integration of the business development team with Kensington to create this dedicated focused alternatives team. That’s an ongoing and key piece of our strategy around capital partners and the firms that we partner with ultimately.
Kevin McCreadie: Yes. Maybe, Gary, before I pass it to Ken. I have been a fan with these types of strategies. Think about a world if you believe that short interest rates aren’t going to go below 3% in the U.S., maybe you have one or two cuts this year. Let’s assume you get to 3%, these are geared to generate 4% to 5% above whatever the cash rate is with very, very, very little volatility. So, I think in the world we are going, I think of it more, we can generate an absolute return for a client that’s in that 8% to 9% over time with a minimal drawdown. I think that will be an attractive product after 25% current year [ph] is in the market. And then on the capital question, Ken, do you want to address that?
Ken Tsang: Yes, sure. Gary, I mean as you are aware, we have got $300 million plus of long-term investments. Some of these investments are in sort of the later years of their vintage, right. And so there is certainly opportunities as they start to have distributions that we would be able to redeploy this capital back into our strategic partners and affiliate managers as we look for longer term growth.
Kevin McCreadie: And specific to this one, Gary, we are putting – we are seeing this with $25 million to show some alignment with the client base.
Gary Ho: Okay. Great. And then my last question. I know you have shown in Slide 16, stocks trading at 2.5x EBITDA, very depressed territory despite executing on your strategy. Are you, management team, the Board looking at other ways to service value, whether that’s looking at your $340 million long-term, short-term investment book, buybacks, SIPs, etcetera, any commentary on that?
Kevin McCreadie: Yes. Gary, it’s Kevin. Let me take that. I mean we obviously agree with you. We think the stock is attractive. As you can see, we continue to buyback to our normal NCIB. We will review our capital as we always do in terms of the dividend policy in the next quarter. But like you, we have always thought about this as a balanced approach when sometimes the stock is more attractive, we will do things versus where we want to invest in growth. And so I think we will take a very balanced approach. But yes, we are keenly aware of the valuation and attractiveness as well.
Gary Ho: Okay. Great. Those are my questions. Thank you.
Operator: [Operator Instructions] And I see we have a question from Graham Ryding with TD Securities.
Graham Ryding: Just one follow-up, can you just remind us of your alternative strategies, what you are trying to go to market with and I guess more on the private wealth or the retail channel, like you have obviously launched this new Holland Capital Fund. I believe you have got a private equity fund with Kensington. Can you just sort of remind us all of your alternative strategies that you think are a good fit for the retail wealth channel?
Ash Lawrence: Yes. Certainly, it’s Ash here. So, yes, you have got two of them there. The new fund that was launched with New Holland Capital would be one of the products. The other two are the Kensington’s private equity strategy, which is the long-running evergreen private equity fund that they have been running for over 10 years now. And then the third is our partnership with SAF Group on the private credit side, where we have open-ended evergreen private credit vehicle that does mid-market, lower-mid market direct lending here in Canada. That’s our current lineup. Obviously, as we sort of add partners over the next little while, we will be looking at additional products and other sectors, depending on the skill sets that joined the family, so to speak.
Graham Ryding: Okay. Thank you very much.
Operator: [Operator Instructions] Thank you. And I am not showing any further questions in the queue at this time. Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. AGF’s next earnings call will take place on April 8, 2025. You may now disconnect.